Operator: Good morning, and welcome ladies and gentlemen to the RLI Corp's Fourth Quarter Earnings Teleconference. At this time, I would like to inform you that this conference is being recorded and that all participants are in a listen-only mode. At the request of the company, we will open the conference up for questions-and-answers after the presentation. Before we get started, let me remind everyone that through the course of the teleconference, RLI management may make comments that reflect their intentions, beliefs and expectations for the future. As always, these forward-looking statements are subject to certain risk factors which could cause actual results to differ materially. These risk factors are listed in the company's various SEC filings including the Annual Form 10-K, which should be reviewed carefully. The company has filed a Form 8-K with the Securities and Exchange Commission that contains the press release announcing the fourth quarter results. RLI management may make references during the call to operating earnings and earnings per share from operations, which are non-GAAP measures of financial results. RLI's operating earnings and earnings per share from operations consist of net earnings after the elimination of after-tax realized in the investment gains or losses. RLI's management believes this measure is useful in gauging core operating performance across reporting periods, but may not be comparable to other companies' definitions of the operating earnings. The Form 8-K contains reconciliation between operating earnings and net earnings. The Form 8-K and press release are available at the company's Web site at www.rlicorp.com. I will now turn the conference over to RLI's Vice President, Corporate Development, Mr. Aaron Jacoby. Please go ahead.
Aaron Jacoby: Thank you. Good morning to everyone. Welcome to the RLI earnings call for the fourth quarter of 2016. Joining me on today's call are Jon Michael, Chairman and CEO; Craig Kliethermes, President and Chief Operating Officer; and Tom Brown, Vice President and Chief Financial Officer. I am going to turn the call over to Tom first to give some brief opening comments on the quarter's financial results. Then Craig will talk about operations and market conditions. Next we will open the call to questions, and Jon will finish up with some closing comments. Tom?
Tom Brown: Thanks, Aaron, and good morning everyone. Key metrics for our success this quarter include a 90 combined ratio and 3% top line growth leading to operating earnings of $0.56 per share. On a net basis, favorable reserve development aided this quarter's results by $12 million, over 50% higher than last year's fourth quarter. Losses from Hurricane Matthew, $6.6 million on a net basis served partially offset the prior year's favorable development that came in below what we had estimated on our third quarter earnings call, which occurred within a few days of the event. Turning to top line, consistent with recent quarterly trends, our Casualty segment drove most of the growth, up 6% in terms of gross premiums written. The Surety segment was up 1%, while property was down 6% due to continued tough competitive conditions particularly in catastrophe-exposed products. In terms of the combined ratio, we accomplished a 90.3 for the quarter. Casualty came in at an 86.6 combined ratio, and surety posted an 89.1 combined ratio. Property ran a 102.9 combined ratio, however, absent the impact of Hurricane Matthew would have also turned in a sub 90 combined. This being the fourth quarter, I would like to share a few additional accomplishments for the year. Many of these I'm sure, Craig, will provide additional details, and it may certainly deserve repeating. First, we ended the year with an 89.5 combined ratio. This not only marks the 21st consecutive year with an underwrite profit, but also the 12th straight year below 90 combined ratio. Investment returns for the year were excellent, with the total return on the portfolio of 5.7%, and the strength over equity portfolio and despite a moderate rise in the interest rates. Heading into 2017, our investment portfolio is well-positioned to take advantage of higher rates as fixed income sector should offer more opportunities to invest marginal dollars that mark yields above our current book yield. As mentioned in our press release, our effective tax rate was positively impacted by the tax benefit associated with $9.9 million dividend received from Maui Jim in the fourth quarter. We recorded tax in our [indiscernible] earnings assuming the corporate capital gains tax rate of 35%. As the dividend is periodically received, a 7% tax rate is applicable to amounts received from affiliates. The tax savings associated with this dividend added $0.06 per share to earnings in the quarter. In addition, we received a tax benefit from dividends that passed through our ESOP. Similar to last year the special dividend paid in the quarter resulted in a $0.05 per share increased earnings from resolving tax deduction. Combined, these two tax benefits served to lower our fourth quarter effective rate by 13.5 points and our full year tax rate by 3.3 points. All in, book value was up 14% for the year inclusive of dividends. On that account we also paid a $2 special dividend in the fourth quarter continuing our approach to good stewardship of your capital. In the last decade a strong earnings capacity combined with active capital management has returned over $1.2 billion to shareholders. And with that, I will turn the call over to Craig Kliethermes. Craig?
Craig Kliethermes: Thanks, Tom. Good morning everyone. As Tom mentioned, we were able to grow the top line 3% for the quarter while reporting a 90% combined ratio. For the year we ended up with gross written premium growth of 2.5% and a combined ratio of 89.5, our 12th consecutive year under a 90 combined ratio and 21st consecutive year of delivering an underwriting profit. Our associates are very proud of their track record and success, and we believe it is unmatched by anyone of our size in this industry. We have performed relatively well given the prolonged soft market, but the challenges for our industry continue. Rates in aggregate are not moving directionally or in proportion to underlying loss costs, which is not sustainable in the long-term for our industry. While each year approves to be more challenging to produce acceptable underwriting margins, we believe the difference makers are the quality of our people, their unrelenting focus on underwriting profit, our alignment of compensation ownership, and our diversified product mix. These factors allow us to differentiate ourselves in all markets but particularly at this time in the cycle. These same qualities served to deliver solid underwriting results to our shareholders again this year. I would like to provide some detail by segment. In Casualty, we grew 6% for the quarter with the combined ratio of 87% as overall favorable reserve development fell more in line with our past trends. We grew 8% for the year while reporting a 92 combined ratio. We were able to achieve modest growth while rates remained relatively flat across most products within this segment. Transportation makes up a little less than 20% of this segment and 12% of our company's premium. Price increases in this segment continued to allow us to grow our transportation business which was up 10% for the quarter. The growth rate is at a slower pace than in recent quarters. We are approaching this business cautiously as the entire market continues to go through some disruption with increasing medical trends and traffic congestion, more distracted drivers and pedestrians on the roadside and a noticeably more active plaintiff bar. Businesses also continued to struggle with attracting and retaining experienced drivers. As mentioned last quarter, we are still addressing some underperforming geographies in classes of our own which did drive some adverse development again this quarter. Although we have not been immune to the underlying severity trends that are affecting the commercial auto line, we still believe we are generating an underwriting margin in this business and continue to look for selective opportunities in a challenging market. We continue to see growth from both established and new surplus line casualty businesses, including excess liability, energy, healthcare, security guards, environmental and large retention business. In addition, our admitted professional and package businesses continue to find opportunities; all of these businesses are performing as or better than expected and we continue to invest in people and products where it makes sense. As a testament to our diversified portfolio we did get some help from our executive products business that had a particularly good bottom line result this year. Its more traditional products are fighting some strong competitive headwinds but they're finding some offsetting growth opportunities in select new niches that are showing promise. The underwriting and claim team have delivered very good underwriting results over the long run despite being one of our more volatile casualty businesses. Our property business was down 6% for the quarter while reporting a 103 combined ratio largely as a result of Hurricane Matthew. For the year we ended down 11% on the top line and reported a 92 combined ratio. Margins continue to erode in our catastrophe expose business with rates down double digits for the quarter and the year. During the quarter we did make a decision to forego two products within our property segment. We began non-renewing our RV business which has struggled to find any level of profitability over the last four years. In addition, we entered into a renewal rights transaction with the third party on our assumed specialty catastrophe business which we determined was no longer strategic. The total 2016 premium for these businesses was approximately $22 million, but over the last several years they consistently failed to achieve any level of sustainable underwriting profit. This is a good example of our willingness to cull the underperforming products in our portfolio and sacrifice top line. Underwriting profit is king and these decisions although difficult will improve our bottom-line going forward. Our surety segment was flat for the quarter while reporting and 89 combined ratio. For the year the segment grew 2% had a combined ratio of 78%. Our miscellaneous surety business which is transactional in nature grew 7% for the quarter and continued to pose very good underwriting margins for the year and the quarter. The surety business overall continues to draw a significant competition particularly in the large accounts sector. We compete in contract, energy and the commercial classes in this space. This business is severity driven and the infrequency of loss in this sector invites and disciplined underwriting behavior. This quarter was a good reminder of the volatility that is inherent in this type of surety business particularly one of our moderate size. Our surety segment realized two significant losses for the quarter, one each from our energy and commercial businesses. Despite these both were still able to report an underwriting profit for the quarter and the year. The growth opportunities appear somewhat limited for them until there is more discipline restored to the market. Overall, we are still finding growth opportunities in the underwriting results for the quarter and the year we're differentiating. Growth in this challenging market will likely be measured and cautious. We're very proud of our track record of underwriting results at RLI we understand that underwriting profit don't come easily, particularly at this in the cycle. This is no time to become complacent, underwriting is paramount at RLI, we spell underwriting with a capital U. we refer to this as our disciplined approach to evaluating and taking risk through tightly align team work and communication between our talented underwriters, claim and analytical staff. We act like owners because that is exactly what we are and because of this, we remain very vigilant in our pursuit of underwriting profits across the diversified portfolio of products, pruning out the under performers and nurturing and growing those businesses that deliver results. I want to thank the RLI's associates for another great year of delivering differentiating results to our shareholders. Now I turn it over to Aaron.
Aaron Jacoby: Thanks, Craig. Operator we can open the call for questions.
Operator: Yes, thank you, sir. The question-and-answer session will begin at this time. [Operator Instructions] And our first question comes from Randy Binner with FBR.
Randy Binner: Hey, good morning. Thanks. I wanted to ask a couple, and I apologize if I missed this, I had another call, I came in late. First, can you provide more color; I think you said that there is assumed casualty business that you exited in 2016, did you totally exit that business, and I am curious and more color there? And then the other piece of my question if this helps in answering is just kind of an update or review on the areas that had issues last quarter which were personal umbrella, and I believe the ambulette or commercial auto business in New York.
Craig Kliethermes: Randy, this is Craig. I will start and maybe Tom might want to jump in as well. If we start to talk about the reserves, but I think your question was about exiting, we have it's not casualty by the way, it was an assumed specialty treaty book of business, we actually do assume business in a couple of different areas at RLI, so -- but the assumed property business, that was more of a regional focus that we did decide to enter into a better renewal and it was fairly relatively small book of business and that was really the big part of the problem.
Randy Binner: So it was small. So, were -- is it more like a rate thing or more like individual, single losses or…
Craig Kliethermes: It was about 10 million of our book of business and it was mostly cat-driven, the whole idea was to try to diversify our book of business in places where we don't write a lot of cats, so in the Northeast and -- in a bit, and also in Northern Florida and some other states in the Southeast kind of complement our book and E&S property business. And we found we just really couldn't reach the scale that we needed to really manage that book of business. So we decided to forego it. You asked about I think the second question was on the reserving front, and last quarter I think we reported both on transportation and the personal umbrella book. I am not sure that there was any other things we really talked about, but on the personal umbrella front, would say that things returned to more of a normal state or at least what normal look like prior to last quarter. So this quarter, this past quarter performed very much it had previous to the third quarter. So I would say to some extent that has we think believe that's returned to normal of what we defined as normal. So we no longer favorable development in that product line this quarter. So still watching it closely obviously because there is a fair amount of auto exposure in personal umbrella, so watching that closely but this quarter returned to normal. On the transportation front, I mean it was more of a same, we saw more development from yes the more of the metro area New York, New York metro area and particularly in the -- what we call non-emergency medical transport paratransit business. We have effectively exited that business all of the paratransit business pretty much countrywide and we are watching the New York stay closely. So -- but we continue to see a little bit of development there.
Randy Binner: Okay. So that's still adverse and then sorry just -- was the assume specialty treaty property business, the only one exited or did you alluded to another business that was exited in the fourth quarter?
Craig Kliethermes: For the recreational vehicle business, when we had reported on that a little bit, I think in past, again we couldn't really get the scale in that business, the results I think are a bit related to probably the underlying auto trends that we are seeing everyone is seeing I think countrywide and we just didn't -- we could just never achieve the level of profitability there and given where we were at, we just didn't see that was going to be an opportunity intermediate term to get back to profitability. So we threw the kitchen sink and trying to fix it over the last three or four years and we just determine that was probably not the right way to go, probably after this point in time.
Randy Binner: And so, was that whole issue exacerbated by like cat losses throughout 2016 or was it more just kind of core absent frequency and severity trends?
Craig Kliethermes: Well, the RV business was really core. I mean they certainly had some losses, I think with the Louisiana flood and that business is about $12 million business, but that wasn't the flood in Louisiana was not the reason that we decided to exit that business, it was it didn't ever made an underwriting profit for us.
Randy Binner: Great, thanks a lot.
Operator: And we will go next to Arash Soleimani with KBW.
Arash Soleimani: Thanks, good morning. Just to clarify the RV business also is within property. So the 22 million all comes from property?
Jon Michael: That's correct. And RV I would say 80% of the - interesting in RV most of the losses are actual physical damage claims for us. So this is really -- that's really a physical damage issue not a liability issue. And also those products are in the property segment.
Arash Soleimani: Okay. And was the $0.23 of favorable development you had in casualty was that pretty much spread across most products or was that coming specifically from certain areas?
Jon Michael: It was pretty much across the board with the exception as Craig mentioned transportation, more in the recent prior exit years 2013 to 2015. So it was pretty consistent.
Arash Soleimani: Okay. And the exit you mentioned from the non-emergency business was that just New York specifically or in other areas as well?
Jon Michael: We are no longer in the non-emergency medical transport business period.
Arash Soleimani: Okay. And then just jumping into the casualty segment on the quarter loss ratio just excluding cat and development that looks like it ended up year-over-year I was just trying to get a sense of it, that's solely a function of pricing or product mix changes leaned into that, I just wanted to know if you could talk about that a bit?
Craig Kliethermes: I think -- this is Craig, Arash, any increase in the current accident year that you might be seeing and I don't know that we see it in our numbers, but it would be just related, it's just, I mean you heard me talk we got some products growing, some products shrinking that can significantly, not all perform at the same loss ratio or combined ratio. So obviously you are going to have some fairly sizeable changes depending on what, how things are proportioned.
Arash Soleimani: You said it was business mix related.
Jon Michael: Yes, pretty much.
Arash Soleimani: Okay. And then just one other question I had in terms of, I guess tax policy; I know there is still a lot of uncertainty around that with the appetite of your underwriters or how they are looking at the business change at all, if after tax terms go up.
Craig Kliethermes: Arash, this is Craig. I am just going to speak for our underwriters, they are singularly focused on driving underwriting profit. So they don't really look at after tax, some of them are listening, this might be the first time, they even now what our combined ratio was for the whole company because they are focused on their product and how their performing from an underwriting perspective.
Arash Soleimani: Okay understood. Okay great thank you very much for the answers.
Operator: And we will now go to Jeff Schmidt with William Blair.
Jeff Schmidt: Hi, good morning everyone.
Jon Michael: Good morning.
Jeff Schmidt: You had mentioned in the transportation line, obviously frequency and severity has been up and you also said there was you were seeing a more active plain of bar. Is that just in that line or you are seeing that kind of across the board?
Craig Kliethermes: Jeff, this is Craig Kliethermes. We I would not say, we have seen it more in the transportation space. But we have seen it across. Well, I think it started with wheels based businesses in general. So I think we have seen transportation and I would say lesser extent in our personal umbrella business, but I think we are seeing it across all the liability businesses and much more active plaintiff.
Jeff Schmidt: And is it more active in terms of just obviously just more lawsuits or is it also higher payouts of verdicts as well.
Jon Michael: Well, I think you've probably seen I mean things have been published about how verdicts have been on the rise, particularly recently and I think that just didn't emboldens the plaintiff bar to push even further for, I would say more -- it's harder to get them to settle things before they get to the court house steps and I guess I will say unfortunately at least in some jurisdictions we have found juries have been willing to cooperate with the plaintiff part of side with the plaintiff a little more like I can speculate why that might be but we feel like we have seen it and that's what I would say about that manner.
Jeff Schmidt: Yes, okay. And then in terms of could you speak to what you are seeing for construction activity, I think it's about a third of total premium, is that right?
Jon Michael: That is true. I mean we continue to see activity up, moderately but much better than it was obviously in the depth of the economic crises and we were hopeful that it's going to continue to increase, it sounds like the new administration focused on infrastructure and building -- hopefully that create more opportunities for us.
Jeff Schmidt: Okay, thank you.
Operator: And we will go next to Mark Dwelle with RBC Capital Markets.
Mark Dwelle: Good morning just a couple of questions, we haven't really covered yet. On the -- I think Tom in your opening comments, you kind of suggested that book yields and reinvestment yields had kind of reached some degree of parity did I hear that right.
Tom Brown: Yes. Mark thanks, it's Tom. Yes we have seen over the course -- particularly the last half of the year, the spread routine, the book yield which is low to mid threes and the market yield starting to narrow and found some opportunities during the quarter bit out of the curve to did some fairly decent returns, done some fixed income securities.
Mark Dwelle: Probably decent set-up for this year or at least assuming the interest rate market continues to track a little bit higher, that's my comment. The second question I wanted to ask was related to the Maui Jim dividend, I think I have asked this question in year's past, I just want to check my understanding of it. So you booked the earnings related to Maui Jim over the course of the year to the extent that you receive a dividend at the end of the year. The dividend ends up offsetting the balance sheet value that you are carrying Maui Jim at and the credit goes against the tax amount that you would accrued along the way during the year related to their earnings is that right?
Jon Michael: Yes, that's correct. Jon Michael, that's correct.
Mark Dwelle: Okay. And then the last question I guess to everybody kind of kicked around the whole property thing fairly thoroughly, the last question I wanted to ask related to that was, to the extent you are exiting these two lines, are you contemplating identifying or any new lines in the property sector or we just I guess continue to see the mix of the overall book continue to migrate more and more towards the casualty side, at least given where pricing is right now.
Craig Kliethermes: Mark, this is Craig. I mean as of right now. We always look for new opportunities whether it would be property casualty or surety. So I can't tell you where those opportunities are going to lie, and obviously takes a little while to earn off the premium for the product that we taken a path on. So -- but certainly as of right now, you can probably expect distribution will continue to shift towards casualty.
Mark Dwelle: Maybe I can ask the question a little bit better; this is a shift, because these lines weren't performing not a shift in favor of -- more greater emphasis on other lines?
Jon Michael: That's correct. I mean, our underwriters are making really the decisions about where there are opportunities to grow and shrink. So, the portfolio, the mix of the portfolio is really just the result of those underlying decisions. It's not a top-down driven decision to say, "Let's go allocate more and find things necessarily in property." We are looking all the time in a bit agnostic in regards to where we find them, obviously, but we are only interested in the ones that can produce an underwriting profit. So I mean we've always been in a constant state of cowing, pruning the portfolio and nurturing and growing those that have opportunity, and we continue to -- we will continue to do that.
Mark Dwelle: Got it. Thanks very much for the answers.
Operator: [Operator Instructions] We will go next to Ian Gutterman with Balyasny.
Ian Gutterman: Hi, thank you. I also wanted to follow-up with a few things on the property side. First, that the risk you are seeing, the obvious, you know, you are getting rid of a little more than 10% of your property book. Is it reasonable to assume that there probably won't be growth in the property book this year, or are there existing lines you think can make up for it?
Craig Kliethermes: This is Craig. I mean, we are always looking. I'm not -- we are overly hopeful on the cap side of things, which is really the bulk of the portfolio, cat-exposed type businesses. We are looking both for new opportunities and new ways of doing business in that space, but the existing businesses we have are -- it's a very competitive market. So I don't know if that's the prudent approach as to charge ahead into business that margins are shrinking at a double-digit pace basically.
Ian Gutterman: Right, right. So, just making sure, and then more -- just how to think about the mix of the combined ratio going forward? So, as you said, these businesses were not making you money. So, I assume getting rid of that probably helps you next year. On the other hand, you know some of the other businesses and that the top lines come down, the expense ratio has gone up. So, does exiting these put more pressure on the expense ratio and does that offset the improvement you get in the loss ratio, or would you use maybe high expense businesses to begin with, so we want to see much of an expense drag and just trying to think through the mix components I guess?
Jon Michael: Ian, well, these -- I mean the products that we -- that these two products that I particularly mentioned are products that have fairly high variable cost components. So, those expenses are going away. The fixed costs obviously were either addressing by if we no longer need to provide that kind of support we would be addressing it through people or reallocating in some sense a few people to things that are growing, and as opposed to, let's say, going out and hiring new people from the outside, we would just reallocate those resources to something that was growing. So it's a combination of both.
Ian Gutterman: Okay, got it. And then on the casualty business, you mentioned I think this is higher cost of pricing, there is casualty as well that that pricing is below trend in many lines, obviously transportation is an exception to that. Is the improvement in transportation enough to offset the pressures elsewhere that you would expect similar profitability in '17 versus '16? Or is transportation not enough that we should probably expect a little bit lower margins this coming year?
Jon Michael: Well, I mean, I would say again at least and I'm going to only speak for ROI and I can show you past history how this has proven out, but changes in margin are more, at least in ROI, more than just change of price, okay.
Ian Gutterman: Okay.
Jon Michael: It also involves selection. So, I think we have pretty selectors. And so, even though we might not be getting price in some lines, we think we're probably doing a better at selecting, which means you got to get rid of the underperforming pieces of each product and continue to try to find ways to grow the more popular ones. So, that's - I mean that's how we look at things. So, as far as price, we started getting price certainly in transportation. The rates are hopefully keeping up with lowest costs overall and we are getting some professional liability in few other stocks I think on the -- most of the casualty portfolio is flat.
Ian Gutterman: Got it. Got it. Okay and then just lastly, any additional color on participated in or were they single clients of yours that were something specific to our alliance just kind of curious if there's interesting about those?
Jon Michael: I mean there's nothing really of that interest to me you do occasionally have losses in that portfolio and our retentions are I think we take a couple of million dollars net retention on that. So when you have a loss usually surety losses are bigger at least in those account-driven ones. As far as the count as far as the type of product or the type of participation, we don't participate in syndicated deals on the surety side. We participate maybe on a select number of bonds within an account but there are bonds that we participate in a 100% not the one we share with anyone.
Ian Gutterman: Got it, got it. Okay, thank you.
Operator: And we'll go next to Ken Billingsley with Compass Point.
Ken Billingsley: Good morning. I wanted to just follow-up on some of the property side and maybe I misinterpreted your comments, but I believe you said you're looking for some new ways to write business and looking at the cost of reinsurance would you look at some of your customer base where you historically had good customers but you don't like the price and maybe utilize reinsurance temporarily to keep them if you think it can be profitable in that manner or continue on the same path of not usualizing reinsurance of the capital management?
Jon Michael: Ken, it's Jon Michael. We don't really view reinsurance that way. We're not big on leveraging our partner reinsurers even if it's temporary. Obviously we negotiate hard on all the deals we do but if we feel like an account is not profitable we're not going to write the accounts, so…
Ken Billingsley: You would let the account go.
Jon Michael: Yes, yes, right.
Ken Billingsley: Perhaps and capture it later when the pricing looks better. Then can you give me maybe an idea of what you meant by this new ways to write some of these lines are there other are there some alternative ways given the pricing trends?
Craig Kliethermes: Well, if you look at part of -- this is Craig. We have looked at partnering with some people that have a similar appetite as us and participate let's say side by side with us in risks. So we've looked at that as an opportunity as a way to build some capacity in the market that's you know soft so and maybe where its beyond our risk appetite maybe they need a little bit bigger limit and we're willing to we like the account but we are not willing to put out the same level of capacity and we can find a partner that's willing to do that. So we've done that on a couple of fronts in that space. It hasn't obviously generated growth it's really just the way to kind of you know offset some of the decline and hopefully set up something that might work well if the market changes.
Jon Michael: So, it's more of a case of -- at least in that example shifting to maybe some larger accounts than maybe what you have traditionally focused on.
Ken Billingsley: Marginally, marginally, I mean are the risk profiles the same in general I mean if you were to instead of writing…
Craig Kliethermes: Yes, I mean as Jon said we -- yes, I mean as Jon said, we don't we're not changing our appetite. We couldn't even if we wanted to, our underwriters are going to write the type of risk they're comfortable with but there are occasions and that happens in property, it might happen in our D&O book might happen in our surety book when we like the account a lot but there is a limit on how much capacity we're going to put out with our capital. So we're already participant on the deal it's just we need more capacity so we've partnered with some select people to help us build capacity on those really on those accounts we really like. but it's not a broadening our appetite to the point in to venturing into something that we're not comfortable with.
Ken Billingsley: Great, thank you.
Operator: As there are no further questions, I will now turn the conference back to Jonathan Michael.
Jon Michael: Thank you, and thanks for attending everybody. We have one question about the -- what would happen in the event that a decline in the corporate tax rate. I think I point out that the decline in the corporate tax rate will come with some nuances in terms of what the deductions are going to be. And so, I think all industries are going to be fighting to keep those deductions, and it will be interesting to see what happens to the property and casualty industry in terms of being able to lower the tax rate. Obviously if the Feds lower the tax rate and don't do anything to the deductions that will be a big boon for our industry, but I suspect that there will be some offsets there. So, I think the bigger impact of what's I anticipate to happen is the economic activity, and that would -- in this country. And any infrastructure building, Craig mentioned, you know, a third to 40% of our business is construction-related. That will be huge for us, because that will give us more opportunities to underwrite good profitable business both on property, casualty and surety side. So, that will be a -- that's a bigger upside for us than any tax billings. So -- but federal increase tax decline made -- it may level the playing field with our Bermuda competition. So those are just a few comments that I'd make about what is happening in this country vis-à-vis the [indiscernible]. We are proud that -- this is our 21st year of producing underwriting profit, 21st consecutive year, and that it's our 12th year of being under 90 combined ratio. So, and our book value was up 40%, including the dividends that we paid. We can be prouder of our customers. We want to thank our customers, our agents, our brokers, and especially our employees who have helped deliver these results. So, thanks again for attending, and we will talk to you at the beginning of the first quarter.
Operator: Ladies and gentlemen, if you wish to access the replay for this call, you may do so by dialing 1888-203-1112 with the ID of 5027803; again, 1888-203-1112 with ID 5027803. This concludes the conference for today. Thank you for participating, and have a nice day. All parties may now disconnect.